Operator: Welcome to Franklin Resources Earnings Conference Call for the Quarter Ended September 30, 2023. Hello, my name is Julie and I will be your call operator today. As a reminder, this conference is being recorded. [Operator Instructions] I would now like to turn the conference over to your host, Selene Oh, Head of Investor Relations for Franklin Resources. You may begin.
Selene Oh: Good morning and thank you for joining us today to discuss our quarterly and fiscal year results. Please note that the financial results to be presented in this commentary are preliminary. Statements made on this conference call regarding Franklin Resources, Inc. which are not historical facts, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of known and unknown risks, uncertainties and other important factors that could cause actual results to differ materially from any future results expressed or implied by such forward-looking statements. These and other risks, uncertainties and other important factors are described in more detail in Franklin's recent filings with the Securities and Exchange Commission, including in the Risk Factors and the MD&A section, of Franklin's most recent Form 10-K and 10-Q filings. With that, I'll turn the call over to Jenny Johnson, our President and Chief Executive Officer.
Jennifer Johnson: Thank you, Selene. Hello, everyone and thank you for joining us today to discuss Franklin Templeton's fourth quarter and fiscal year 2023 results. As usual, Matt Nicholls, our CFO and COO and Adam Spector, our Head of Global Distribution, are joining me on the call. Over the past several years, we've made great strides in transforming our business, all in an effort to meet the needs of our clients and shareholders around the globe no matter the market environment. We've done this by creating a diversified company that offers a broad range of investment expertise and capabilities across asset classes, investment vehicles and geographies. Today, we're able to offer our partners and investors the ability to fulfill their comprehensive investment needs across public and private markets and in the vehicle of their choice as one firm with specialist investment managers operating around the globe. In addition, we have made important investments in value-added services, including technology, digital wealth and customization in order to be on the forefront of innovation in areas increasingly important to our clients. As we look back over our fiscal year, challenging global financial markets and geopolitical uncertainty weighed heavily on investor sentiment. The so-called Magnificent Seven, 7 large U.S. tech companies, have primarily driven all of the gains in global stocks this year. And in our fourth quarter, we saw heightened volatility lead to increasing pressures and declines across equity and fixed income markets. We believe markets, like the one we're in, reinforce the value of active management with a long-term investment horizon. So often in these times of uncertainty, where the best opportunities to capture value are identified. In this complex and volatile market environment, it's no surprise that there's a tremendous amount of cash sitting in bank accounts and in money market funds, capturing what are the most attractive short-term yields in more than 15 years. Global Money market assets stood at $7.4 trillion as of September 30, the highest asset level since Morningstar started collecting the data in 2007. We have been actively engaging with our clients to understand their needs and address their strategic goals. Many clients continue to look for additional access to private markets, alternative credit, in particular. And as yields have become more attractive, clients have had a renewed interest in fixed income. We continue to provide insights and taught leadership to help them navigate the latest conditions, including drawing upon the resources of our various specialist investment managers and the Franklin Templeton Institute. Against this backdrop, we continue to manage our global business with a focus on areas of organic growth, expense discipline and strategic transactions. As such, this year, we are pleased with the progress made executing on our long-term corporate priorities by expanding our investment capabilities across vehicles and deepening our presence in key markets and channels. For the fiscal year, notwithstanding 20% lower inflows. Long-term net outflows improved 23% from the prior year. Long-term net flows were positive in several key areas, including alternatives, multi-asset, ETFs, Canvas and the high net worth channel. In addition, our Asia Pacific region generated positive long-term net flows for the fiscal year. Our EMEA region turned positive in the second half of fiscal 2023 and our non-U.S. regions posted positive net flows in the fourth quarter. One of our strategic priorities has been to increase our scale in key segments of the industry, reflecting long-term client demand. In this pursuit to offer more choice to more clients, we closed the acquisition of Alcentra, a leading European credit manager, doubling our alternative credit AUM. Firm-wide alternative AUM increased by over 13% to $255 billion from the prior year, making Franklin Templeton one of the largest managers of alternative assets. Alternative AUM represents approximately 19% of our long-term AUM and approximately 25% of adjusted revenues, excluding performance fees in fiscal 2023. Alternative assets management fee revenues increased 36% year-over-year. Furthermore, we were pleased to announce the pending acquisition of Putnam Investments with $136 billion of AUM and our relationship with Power Corporation and Great-West Lifeco, strengthening our presence in the retirement and insurance segments. The transaction will enable us to further bolster our presence in these key market segments to better serve all our clients and remains on track to close in the fourth quarter of calendar 2023. Industry-wide, we continue to see consolidation of asset management relationships. In this context, there are increased expectations for value-added services and we believe we are well positioned as a strategic partner due to the breadth and depth of our investment capabilities, technology, content and capital resources. As we look ahead in 2024 and beyond, with better clarity on interest rates and markets in general, there will be an increased likelihood of investors moving money from the sidelines. We believe we are well positioned to capture money in motion as clients benefit from the expertise of each of our specialist investment managers, particularly in areas where there is strong client demand such as alternatives, income, fixed income, solutions and custom indexing. Turning now to our specific numbers for the fiscal year, starting first with assets under management inflows. Ending AUM was $1.37 trillion, an increase of 6% from the prior year, primarily due to market appreciation and the acquisition of Alcentra. Investment performance continues to be strong and resulted in 61%, 48%, 47% and 61% of our strategy composite AUM outperforming their respective benchmarks on a 1-year, 3-year, 5-year and 10-year basis. Compared to the prior year, AUM outperforming benchmarks stayed the same in the 3-year period and declined in the 5-year and 10-year periods. 1-year performance improved significantly due to several equity strategies, including non-U.S. strategies and select U.S. taxable fixed income composites. Long-term net outflows were $21 billion and improved by 23% from net outflows of $28 billion in the prior year. Reinvested distributions were $21 billion compared to $32 billion in the prior year. Our long-term net flows while challenged for the year, continued to benefit from a diversified mix of assets and strong presence in key areas. Multi-assets saw a 66% increase in net flows from the prior year and were positive for all 4 quarters, including nearly $8 billion, driven by Franklin Income Fund, Franklin Templeton Investment Solutions and Canvas, our custom indexing solution platform. In fact, our flagship Franklin Income Fund celebrated its 75th anniversary in August. The strategy follows a flexible value-oriented investment philosophy, seeking income and long-term capital appreciation by investing in dividend paying stocks, bonds and convertible securities. The fund has successfully delivered uninterrupted dividends across all market cycles ever since its launch in 1948. It's also a great example of how we're giving investors greater choice in how they access the strategy, including through SMAs, sub-advice strategies and in an actively managed ETF vehicle around the globe. For the fiscal year, alternative net inflows were approximately $6 billion, driven by growth in private market strategies which were partially offset by outflows in liquid alternative strategies. Benefit Street Partners, Clarion Partners and Lexington Partners together generated net inflows of nearly $11 billion. We continue to make strides in alternative assets unlocking new opportunities for investors in our firm. Retail and high net worth investors remain under-allocated in alternatives relative to institutions. Client interest was strong for alternative strategies on wealth management platforms under the alternatives by Franklin Templeton brand in the U.S. which was launched earlier this year. For example, we anticipate over 20% of the total capital raised in our current secondary private equity fund to come from the wealth management channel. We continue to focus on client education initiatives through our alternative focused podcasts and webinars partnering with the Franklin Templeton Academy. Fixed income net outflows decreased by approximately 50% to $16 billion this fiscal year, with net flows significantly improving starting in the second quarter of the fiscal year. In a year when all eyes were on the bond markets and interest rates, we continue to benefit from having a broad range of fixed income strategies with non-correlated investment philosophies. Brandywine Global saw positive net flows for the year. Franklin Templeton fixed income saw positive net flows in the second half and Western Asset had positive net flows in its core and muni products for the year. Fixed income strategies also saw net flows in ETFs and starting in the second half of the year in SMAs. With the addition of Putnam, we will further strengthen our fixed income offering, particularly with ultrashort, stable value and longer duration strategies with strong long-term investment performance. Equity net outflows were nearly $19 billion. The risk-off environment continued to impact investor sentiment on select equity growth strategies which were partially offset by net inflows into large-cap core, international, smart beta quantitative and emerging market strategies. We believe that emerging markets equities could be a potential bright spot in equities as investors look across broad markets for opportunities. Turning to ETF, since launching our ETF business in 2016, we have provided our clients with a broad range of investment strategies and have achieved significant growth milestones. ETFs generated net inflows of nearly $4 billion in the fiscal year, representing 4 consecutive quarters with net flows of approximately $1 billion and AUM ended the quarter at over $16 billion. We continue to launch new and innovative ETFs based on client interest. During the fourth quarter, both Western Asset and Brandywine Global launched active fixed income ETFs and we expect to see strong client interest in both strategies. We are a leading franchise in SMAs with $113 billion in AUM, an increase of 13% from the prior year. We saw momentum in our SMA platform with $1.3 billion of long-term net flows in the second half of the fiscal year. This year, we continued to expand our SMA capabilities with launches focused on customization such as tax managed overlay and SMA products of key flagship strategies, including the Franklin Income Fund. Through new technologies, we're continuing to enable personalized portfolio solutions that seek to improve bespoke outcomes for investors. A good example is Canvas which has achieved net inflows each quarter since the platform launched in September 2019 and AUM has more than doubled to $4.8 billion since the acquisition closed. This year, Canvas generated net inflows of approximately $1.5 billion and had 20 new partnerships. In addition, it continues to have a robust pipeline. Private Wealth Management AUM ended the quarter at $34 billion with Fiduciary Trust International, generating its 12th consecutive quarter of long-term net inflows. Fiduciary Trust provides personalized solutions to high net worth individuals and multifamily offices with an average client relationship of 16 years. It is a growing client base and a platform well positioned for long-term growth. Since 2010, Franklin Templeton has been the investment manager and sole administrator of Fondul. In July, Fondul's largest holding, Hidroelectrica, Romania's leading energy producer, broke a record as being Romania's largest initial public offering on the Bucharest Stock Exchange. The listing reflects our ability to provide partnerships with public and private institutions in emerging markets to deliver long-term value for all stakeholders and our enduring commitment to developing the country's local capital market, promoting corporate governance and transparency. Looking forward to 2024, we will continue to further expand our business and invest in key areas of growth that extend our ability to offer more choice to more clients in more places, including alternative asset management, insurance and retirement channels, customization and solutions for clients, technology-related distribution and private wealth management, specifically Fiduciary Trust International. We are proud of the work that we have done over the past several years to further grow and diversify our business. It makes us a more resilient organization over the long run and reflects our focus on positioning Franklin Templeton as a premier partner. Finally, I'd like to thank our dedicated employees around the world for all their efforts in this past year to grow our business by always putting our clients first in a continuously evolving industry. Now I'd like to turn the call over to our CFO and COO, Matt Nicholls, who will review our financial results from the fiscal quarter and year as well as provide an update on the Putnam acquisition. Matt?
Matt Nicholls: Thanks, Jenny. Fourth quarter earning AUM was $1.37 trillion, reflecting a decline of 4% from the prior quarter and average AUM was $1.42 trillion, flat from the prior quarter. Adjusted operating revenues increased by 1% to $1.6 billion from the prior quarter and included adjusted performance fees of $98 million compared to $116 million in the prior quarter. This quarter's investment management fees benefited from $36 million in connection with Fondul and were partially offset by lower catch-up fees of $17 million in secondary private equity. This quarter's adjusted effective fee rate which excludes performance fees, was 40.2 basis points, an increase of 1 basis point due to transaction-related management fees earned from Fondul. Adjusted operating income increased 7% from the prior quarter to $512 million and adjusted operating margin increased to 32.4% from 30.5%. The increase from the prior quarter is primarily due to higher investment management fees, the aforementioned management fees earned from Fondul and lower compensation and benefits expense, partially offset by lower performance fees. The specific operating income from Fondul and secondary private equity catch-up fees was $35 million for the quarter. Fourth quarter adjusted net income and adjusted diluted earnings per share increased by 31% and 33% from the prior quarter to $427 million and $0.84, respectively. The increase in adjusted net income and adjusted diluted EPS is primarily due to higher other income, higher adjusted operating income for the reasons mentioned and lower taxes. Adjusted EPS increased by $0.05 due to Fondul and secondary private equity catch-up fees in the quarter. Turning to fiscal year 2023 results; ending AUM increased by 6% from the prior year, while average AUM declined by 5%. Adjusted operating revenues of $6.1 billion decreased by 6% from the prior year and included an additional 6 months of Lexington and 11 months of Alcentra. Adjusted performance fees of $383 million decreased from $515 million in the prior year. The adjusted effective fee rate which excludes performance fees, was 39.5 basis points compared to 38.9 basis points in the prior year, primarily due to a full year of Lexington and 11 months of Alcentra. While continuing to invest in long-term growth initiatives, we also continue to strengthen the foundation of our business through disciplined expense management and operational efficiencies. Our adjusted operating expenses were $4.3 billion, an increase of 3% from the prior year, again, including a full year of Lexington and 11 months of Alcentra. Excluding performance fee related compensation and the full year impact of Lexington and Alcentra, adjusted operating expenses were down slightly from the prior year. This led to fiscal year adjusted operating income of $1.8 billion, a decrease of 22% from the prior year, primarily due to lower average AUM, driven by market declines and to a lesser degree, net outflows. Adjusted operating margin was 29.9%, compared to 35.9% in the prior year. Compared to the prior year, fiscal year adjusted net income declined 28% to $1.3 billion and adjusted diluted earnings per share was $2.60, a decline of 28%. From a capital management perspective, after returning $870 million to shareholders through dividends and share repurchases and funding the acquisition of Alcentra and other acquisition-related payments, we ended the year with $6.9 billion of cash and investments. We will continue to prioritize our dividend which has increased every year since 1982. Purchased shares to hedge our employee share grants and where applicable, review targeted acquisitions to reach our objectives at an accelerated pace. In addition, as we begin in the fourth quarter, we plan to opportunistically repurchase shares above the employee-related equity issuances during fiscal year 2024. Turning to the Putnam transaction which, as Jenny mentioned, remains on track to close in the fourth quarter of calendar 2023. Amongst other factors, the transaction is structured to maintain Franklin's -- Templeton's financial flexibility and promote our continuing investments in the business. It also protects our strong financial position in the context of challenging market conditions. At current market levels, the acquisition of Putnam is expected to add total run rate adjusted operating income of approximately $150 million after the first year post closing. Consistent with an approximate 30% operating margin, inclusive of cost synergies and we are ahead of schedule in terms of when we are likely to realize operating income post-close. Assuming this operating income contribution the transaction is expected to be modestly accretive to adjusted EPS by the end of the first quarter after closing. And now, we would like to open the call up to your questions.
Operator: [Operator Instructions] Your first question comes from Michael Cyprys from Morgan Stanley.
Michael Cyprys: Maybe you could just start off on the private market space. You guys continue to raise capital there. Maybe you could just update us on some of the progress across some of the key flagship funds which strategies you think might be entering the market as you look out over the next 12 months. And just on the private wealth channel, I think you mentioned 20% in terms of what you're looking -- expecting to raise or maybe you could just talk about some of the traction that you're seeing in the private wealth channel, in terms of fund placements and new products you might be able to bring on the channel.
Jennifer Johnson: Right? Adam? Adam is going to take this one.
Adam Spector: All right. Thank you, Jenny. We're seeing strength really across the board. I would say the folks -- the place where we're seeing a lot of interest is -- like others is in the private debt area. They're particularly in the real estate-related debt. We're seeing good growth. We've had a good year in our CLO business. We're out with special situations and new BSP flagship fund, that's all really good. Alcentra is beginning to be integrated more into our distribution force. We're feeling really positive about that as well. Lexington is continuing their fund raiser for Fund 10 and we're just beginning to do some other things there. You mentioned, Michael, the 20% raise that will come from wealth management for Lexington. We're starting to see greater traction for wealth management alternatives across the board. We spent the year really building out our capabilities for U.S. wealth management alternatives and we're now taking that model and using it in Europe. In general, one of the things we're seeing that's quite positive in wealth management alts is the fact that we're now getting on to calendars of 6 month, a year in advance. And once you're in that flow, we think the fundraising really will continue. That's the quick overview.
Michael Cyprys: Great. And just a follow-up question, maybe for Matt. I think in the release, you mentioned the transfer agency functions globally have now been outsourced. You did that in the U.S., now you took that around the world. I think also you've outsourced fund administration in the U.S. So maybe you could just talk to what's next as you think of about simplifying the business, enhancing efficiencies, what steps might be able to take over the next year or 2? How meaningful might they be? And just curious, any sort of benefits or lessons learned and takeaways that you could speak to on the transfer agency outsourcing.
Matt Nicholls: Yes. So you mentioned 3 key things there. One is the steps we've taken to outsource fund administration, transfer agency and aspects of our technology. What we've been working hard on over the last year or so is what next in terms of our investment management platform in terms of technology. That includes both middle office and back-office functions. And I'd say that we're pretty deep into it and you can expect more updates from us throughout 2024.
Jennifer Johnson: Well and I would just add, Mike, as you know, we've done a lot of acquisitions. And I think one of the reasons they work well is, we take our time on some of the integration. And so there's opportunity, obviously, we'll be integrating Putnam into the -- into our environment. And even some of the Legg Mason SIMs are -- have an opportunity to integrate which we think will simplify the environment.
Matt Nicholls: Yes. And in terms of the financial impact, Mike, I would just caution you on that. These things take time. As Jenny mentioned, there won't be any additional change in 2024. That's a step change in terms of our expense, in terms of our expenses around the operation. But I think going into '25, '26 or longer term, not only do we have the opportunity to be more efficient across the organization, bringing things closer together in an effective way but also, it's an opportunity to modernize, to reduce CapEx, to make sure that longer term, we're in a position where we can scale at lower expenses with the right partners.
Operator: Your next question comes from Craig Siegenthaler from Bank of America.
Craig Siegenthaler: My question is on the SMA business. And I think you said, ask one question but maybe I could tuck another one in on the SMA within here. But -- what I'm looking for is more details around the components and the growth trajectory. So now that the Franklin Income Fund which is one of your flagship is in the SMA wrapper, I'm just wondering, are there other flagships at Franklin and its affiliates that would make sense also launching into an SMA wrapper? And then -- kind of my 2-parter was, you're generating about $700 million of flows per quarter in the SMA wrapper. Do you think this is a level that could increase significantly from here?
Jennifer Johnson: Yes. So I mean, you've got to remember, SMAs exist and the reason we're taking off so much is that in the retail channel, where the world went fee-based, it is difficult for a financial adviser whose client fees, they're being charged every month for advice to buy and hold a mutual fund, right? So if you can deliver the same kind of product in an SMA with the holdings basically on the statement, it looks like the advisers being much more active on that. And so we view ourselves as being vehicle agnostic to how we deliver what is our expertise which is our investment capability. And -- so you take, for example, the Franklin Income Fund. The Franklin Income Fund now is -- we have an ETF version, an SMA version and we're seeing growth in both of those. So any of our products can be delivered in SMA. Today, we have munis. Munis are actually -- have a good growth area in the SMA muni ladders. And so the way we are thinking about our business is, I always say it's like a 3-legged stool. It's product capability, geo-global distribution and vehicles. And the vehicles can be mutual funds, communal trusts, ETFs, SMAs, things like Canvas direct indexing. And we should be flexible about how we deliver those, in whatever market we -- whatever market we're operating in. And I think that nobody has won the breadth of product capability that we have to the breadth of geographic distribution, both on the retail and institutional side. And while we may have been late to things like passive ETFs, we were early actually in the active ETF space. And so being vehicle-agnostic is very important. Now the challenge is on the SMAs, is that you have to get approval at the gatekeeper level and then you have to go out and train individual advisers. So it's a bit like alts in the complexity. But once you do that, then you just get consistent flows coming in. So the long answer is basically, we see any of our flagship funds as being able to be delivered through the SMAs platform.
Adam Spector: And I just might add that emerging markets is another area where we're seeing significant SMA growth in addition to the munis that Jenny answered. And while a lot of the growth is in SMAs, having a product available like the income fund in SMA, in ETF, a mutual fund across border fund being vehicle-agnostic, really, that just take broader access to different platforms.
Operator: Your next question comes from Brennan Hawken from UBS.
Brennan Hawken: Curious about the expectations for expense growth into next year, Matthew. Maybe if you could give us an update there.
Matt Nicholls: Sure. Thank you, Brennan. So I'll split it into 3 components, if you'll bear with me. One is, we'll discuss the first quarter guide, our fiscal first quarter guide. Second, I'll give a very preliminary, recognizing how early we are for fiscal year 2024. And then thirdly, I will provide an update on Putnam, because obviously, Putnam, we expect to become an important part of our consolidated guide, if you will. But I want to do that separately because we don't know exactly when it's going to close, so it's speculative at this point but I'll give you that information. And then I'm going to go through the individual components of the expense issues that you focus on, from a modeling perspective. And so firstly, EFR, we expect our EFR to remain in a 39 basis point area, excluding performance fees. Compensation and benefits, we expect -- again, this is first quarter '24 fiscal, we expect compensations and benefits to be at $750 million but please note that this includes $35 million of accelerated deferred comp charges. This also assumes $50 million of performance fees. IS&T, we guided to $125 million, flat to the quarter we just had. Occupancy, we expect that to increase to $65 million from high 50s. And the reason for this is that in New York City, we are transitioning to a more efficient and unified space. We have 9 offices currently in New York City and we are consolidating into 1 major office space in New York. And for a period of about a year, we're going to have the equivalent of double rent on that office. So that means, for the first quarter, this implies 2 months of this, by the way, it's about an $8 million increase; and that $8 million will increase to $12 million of increase, for your occupancy for about a year. After the year is up, that will be -- that will go away and it would normalize back down into the mid-50s again. G&A, we expect to be in the $140 million area and this includes slightly higher T&E and flat placement fees. In terms of our tax rate, we expect that to be 24% to 26% for the fiscal year '24 in terms of full year '24 overall expenses. I'll first of all note that, as I mentioned in my prepared remarks, that between full year '23 and full year '22, we are about 1% lower, excluding performance fees and the various acquisitions that weren't included in the previous year. Full year '24, excluding Putnam, performance fees and the New York City real estate transition that I just walked through, we expect our expenses to be approximately flat, perhaps slightly down. But I would model flat at this point. In terms of Putnam, again, as Jenny and I mentioned that in our prepared remarks, we expect Putnam to close in the calendar fourth quarter and in our fiscal first quarter. We're hoping for December 1. And so the guide that I'm about to provide to you does assume December 1 but that could end up slipping into January 1, for example. But let's hope for December 1. If we close on December 1, from a revenue perspective, we expect to add about $50 million to revenue. Around $42 million of that is expected to be in investment management fees and about $8 million of that is expected to be in services. And you can run rate that by 20 -- by 12 to come up with the annual number for modeling purposes. We expect operating income addition, so the addition to operating income in the first quarter, in other words, for the 1 month, to be between $8 million and $10 million for Putnam. In the second fiscal quarter, we expect to add an incremental $25 million operating income and in both the third and fourth quarters, for Putnam, we expect to add an incremental for both quarters, $25 million to $30 million in operating income, assuming, of course, that revenue remains approximately stable and markets remain stable to where they are. At current levels, we're still guiding, as I mentioned when we announced the transaction to add a total operating income of around $150 million run rate by the time our fiscal year ends in 2024, in other words, by 9/30. This is 10 months, obviously, assuming we close December 1 versus the 12 months that we guided when we announced the transaction. So the change here is not necessarily the $150 million that we've talked about, although we would put that at a minimum at this point based on current markets but the change is when we expect to actually realize the operating income. When we announced the transaction, I described a scenario where we would expect to achieve 25% on a run rate basis at the time of close. And as you can see from the guide of $8 million to $10 million for the first month coming in operating income, this is now indicative of achieving over 50%, let's say, between 50% and 60% of targeted operating income on a run rate basis by the end of month one. So in the actual year, just to be as clear as we can be to help with the modeling. In terms of the actual year, we expect to realize between $85 million and $100 million of operating income and to have reached at least $150 million run rate by 9/30/24, all else remaining equal. And then, the final comment -- sorry, Brennan. I want to make sure this is as complete as possible, so everybody gets the models right. At the end, so what this means in terms of accretion, dilution, because we talked about that, too. At the current time, again, recognizing how volatile the markets are and so on. But the current time, all else remain equal, this would mean a transaction becomes accretive by the second quarter. So in our fourth quarter versus at the end of the first year that we talked about initially. So we're pretty much becoming accretive in this transaction almost right after we close. It's like a couple of months afterwards but let's say just to be conservative at the end of the first 4 quarter after we close. So that would be the end of our second fiscal quarter.
Brennan Hawken: Got it. I got my money's worth on that question. Thank you, Matt.
Matt Nicholls: That's pretty thorough.
Brennan Hawken: Just one clarifying question. So -- and you gave us the -- I think you kind of gave us that $150 million incremental run rate by 9/30 which kind of is a guiding -- sort of a north star. But I believe the walk was, it's like $8 million to $10 million in the first quarter, assuming ending December...
Matt Nicholls: First month.
Brennan Hawken: That's just 1 month, right?
Matt Nicholls: Yes, just 1 month.
Brennan Hawken: And then next quarter, that means we're adding $25 million on to that $8 million to $10 million. So getting to $35 million. And then -- and are those -- okay, got it. And those are quarterly, not run rate?
Matt Nicholls: Correct. They're actual adds. So by the end of that period, we would have added $25 million at the end of the third and fourth quarter, we would have added another $25 million to $30 million. So at the end of the fiscal year, we would have added up to about $100 million. So it's real actually -- operating income addition is not just run rated. And the reason why I add the $150 million run rate is that, that could be achieved -- sort of an accelerated fashion right at the end of the last fiscal quarter.
Brennan Hawken: Okay, perfect. That's really, really helpful.
Matt Nicholls: Yes. The only other one thing I'd add is that the -- because this is obviously a very important factor in the model as well, as you think about overall AUM and EFR. The Putnam acquisition reduces -- is expected to reduce our EFR by 0.2 basis points because they have a slightly lower EFR than us.
Brennan Hawken: Got it. And that is -- and when would the impact of the EFR would that happen pretty much right away?
Matt Nicholls: It's over the years. So -- but yes, I pretty much do -- gradually it comes in because -- but it should be right away in December.
Brennan Hawken: The run rate impact by the way, it will be adjusted for the timing?
Matt Nicholls: Yes. Because as you know, we average -- the AUM gets averaged over the period, it comes in. So it's going to be a bit wonky in the first year -- the first quarter, sorry but you'll soon see the full impact of 0.2.
Brennan Hawken: Got it. But the 0.2 is the way we can think about it and then we can adjust for timing accordingly.
Matt Nicholls: Exactly, that's a good way of putting it.
Operator: Your next question comes from Alex Blostein from Goldman Sachs.
Alexander Blostein: Great. Well, thanks for that. I think we could probably end the call right there. So I did want to ask you guys about fixed income, obviously. And look, Western had some nice stabilization in investment performance early in the year. But the latest moves in interest rates put incremental pressure on core and core plus both, absolute and relative to the benchmark. So how are the conversations with clients, I guess, evolving as you highlighted, the opportunity to maybe rotate some of the cash on the sidelines to longer duration products. How big of a headwind do you think that is? And if more capital ultimately chooses to go back to passive vehicles within fixed income like we've seen this year, how is Franklin as a whole, positioned to maybe take advantage of that opportunity in some of the fixed income refers on the passive side?
Jennifer Johnson: So interest -- so first of all, core is in positive flows and has remained in positive flows. It's core plus that's been more challenged. We just came from -- we had our international institutional client conference last week. And the walk of the discussion is around, is it time to move cash and go longer duration. So we're also waiting for that moment but we're certainly getting close to it. I think everybody agrees, maybe there's one more increase of the Fed, maybe not but we're definitely near the end. And then the question goes, is it higher for longer? Or do things degrade quickly and rates get dropped. So I think we're fortunate in that we have 4 independent fixed income teams that all actually have slightly different views. And clients align with one of those views. And that's the way we look at managing the business and kind of the insurance policy around it which is to have comfort that we know that we can align something. And the key has been training our sales force to understand those nuances. So that they can be out there and deliver the appropriate product consistent with that client's view. And so yes, there are -- I mean I think Western is probably our top-flowing SIM as far as gross sales, because there are a lot of clients that align with Western view. So -- and we think we're well positioned when they're -- sure, there's going to be X percentage that do passive but there's plenty of them that believe in active fixed income. I'm always one of those that's skeptical when you -- the concept of doing capital allocation based on who's got more debt in the fixed income. So passive fixed income is always a question in my mind but there are clients who prefer that but there are plenty of clients who prefer active fixed income. And with our diverse SIMs, I think we're well positioned to capture that as money moves out of cash into longer duration. Adam, do you want to add anything or?
Adam Spector: Yes. I think you hit a lot of the key points, Jenny. Western is having very good conversations with its clients. It continues to be Franklin Templeton's top selling SIM in terms of our gross flows. And if you look at their performance, 88% of their marketed composites have outperformed over the 1-year period. And I think that number, the 10-year period is something like 97%. So yes, in core plus and some other strategies, they've had a tough go of it recently but we see that turning around and we see client interest still being very strong in Western products.
Alexander Blostein: Great, that's helpful. And then, Matt, just one for you. Share repurchase is pretty strong in the quarter. I think in your prepared remarks, you alluded to the idea that you might be a little bit more opportunistic. So I was hoping you could maybe flesh that out a little bit more as we're thinking about capital return priorities for next year.
Matt Nicholls: Right. Sure. Thank you, Alex. So I think the point we're trying to make on this is that, obviously, that the market is complicated, it's fraught with uncertainty. So we want to be careful of how we describe this. But obviously, we've been very active in acquiring companies to make sure we have the right set of investment management capabilities to be as relevant as we possibly can to the most important clients around the world in every asset class and every vehicle that Jenny mentioned. We feel like we're pretty much done in that regard. There's 1 or 2 areas that we've referenced, infrastructure, for example, in the private markets area of alternative assets. And then maybe there's a few distribution things, a couple of technology things. But in terms of large-scale transactions involving hundreds of millions, in certain cases, billions of dollars, we feel like we're done in that regard for the foreseeable future. Never say never but we certainly feel that we're done in terms of strategic planning. And therefore, I think you can expect us to move into more of a capital return mode opportunistically. So what that means is we're going to absolutely protect our dividends, as we've always described and you can expect the same sort of pattern that you've seen since -- in the 1980s. We're going to be very disciplined in buying back our -- and hedging our employee grants. But as you know, we're left over with a fair amount of cash after that, both in terms of earnings -- from earnings but also in terms of our balance sheet and look, with our shares trading where they are, it's a very good opportunity for us. And as you know, we've funded 90% of Putnam transaction with shares and we'd like to repurchase those shares as soon as we can. So we're going to be quite focused on that. We don't want to give a schedule because the market is too uncertain in our opinion and we need to make sure that we are conservative and careful and methodical and all the rest of it that you expect from us. But the pattern of share repurchase that you saw in this last quarter, again, I'm not saying it's going to be the same number but you can expect us to really focus on opportunistic share repurchases in addition to the share employee grants for the reasons that I've just outlined.
Operator: Your next question comes from Glenn Schorr from Evercore.
Glenn Schorr: I'm not sure if it's for Adam, for anybody. But so the new DOL rule proposal just came out. And I think this is a long time coming. The focus is updating the definition of what is the fiduciary and investment advice. And given your distribution efforts and prowess in the channel, just curious how you think it may or may not impact Franklin in the various products, various channels.
Jennifer Johnson: You know, this -- Glenn, this has been discussed for quite a while and back and forth. And we've all and through the ICI, have had opinions on it. And our view is, it's about education, it's about suitability of products and making sure that advisers are deploying the appropriate product for that client. And we've always had the view that it's our job to make sure that we well inform our distribution partners and provide transparency around that. And so I think our view is that this is not going to have a tremendous impact.
Glenn Schorr: Good news. Maybe one follow-up. I appreciate that we're not quite at the finish line yet on Putnam. But as you get to know each other, from my look, I think performance looks good and improving in their products. But as you've gotten closer together, I'm curious what things you're learning, what can you work on for their distribution reach and insurance and retirement?
Jennifer Johnson: Well, I think I'll start and then, Adam, you could jump in. I mean, to be honest, like, one of the things that -- we are really excited about this Putnam deal is that, if you're a traditional asset manager, who has a big book of mutual funds, the area from a -- where mutual funds tax disadvantage isn't an issue is in the retirement channel. And so -- and that's a way in which we have always underpunched our weight. And so as we got into this, we couldn't be more excited about combining what we've been putting an emphasis internally, on retirement, with their distribution capability, we worry a lot because as you can imagine, Empower was built out of Putnam. And so really understanding that retirement channel, bringing these teams together and we think that's just going to make us a much, much better distribution partner, not just with Empower but with firms like -- platforms like Principal, Nationwide, Fidelity and being able to have an entry with our stable value in the target date funds. So we look at this and couldn't be more excited about what we think is a great growth opportunity for us in a channel that just even when markets are volatile, people still continue to contribute to their 401(k) through their paycheck. Adam, do you want to add anything to that?
Adam Spector: Yes. I would say that in some ways, it reminds me of the Legg Mason transaction when the 2 distribution forces were just so complementary. And if you look at the way that Franklin is built out in the non-U.S. market, as an example, I think that scale there really helps Putnam. If you look at what Franklin Templeton has in terms of SMA capability, ETF capability, that, along with the core Putnam strategy is a real advantage. And finally, I would note that subject to all of the financial comments that Matthew made within those structures, we will be able to add significantly to the sales force. So we'll have a bigger sales force, a more effective sales force by bringing the 2 firms together. That bigger sales force will obviously have more product -- great Putnam product. And so we're feeling that the transaction is really going to help propel us.
Jennifer Johnson: And I'll just add on the insurance side, I actually think we gained insurance expertise at the acquisition of Western who has tremendous penetration in the insurance channel. But what's exciting is, now with the alternatives capabilities that we're adding, we can take that expertise and just be a much more relevant partner. And so, as Great-West looked at our capabilities and basically committed $25 billion, it was because it was a detailed bottoms-up analysis of our various SIMs to determine what made sense for them. And that -- we wouldn't have been able to respond to that as well. Had we not had the expertise at Western and we're building it within Franklin and then, of course, the Venerable announcement that we -- the press release we had, I think, last week or the week before, again, comes out of that combined Franklin and Western insurance ideas. So we think there's more to come there as well.
Operator: Your next question comes from Dan Fannon from Jefferies.
Daniel Fannon: Another clarification on expenses here. Just -- Matt, your comments on fiscal '24 being flat ex performance fees. I just -- is that versus the reported number in fiscal '23? Or is that ex performance fee comp and other things in it as well?
Matt Nicholls: It's ex-performance fees and other comps. So you have to look at the 2 adjusted numbers in that regard. So it's '23...
Daniel Fannon: So what is the number for '23?
Matt Nicholls: So '23 would be like 4.07 [ph] -- something like that, 4.075 [ph]. And then again, if you -- the full year '24 is really right on that number. Again, excluding the performance fees and the real estate issue that -- the transition I mentioned in New York which is about -- that overall transition is about $50 million or something like that.
Daniel Fannon: Okay. And then as a follow-up, just on alternatives. It looks like gross sales were their lowest levels since, like 8 or so quarters. I'm curious if that's just more the environment, timing around what's in the market with you guys? And then also, just specifically, what did Clarion do in the quarter as well as, if Lexington -- the peers that you are looking -- that hasn't had its final close and when you think that might happen?
Jennifer Johnson: So Lexington's final close will be in December. So they're scheduled on that. Clarion has had improving redemption queues but they're still -- I don't know, Adam, if you want to -- if you have the details on it. But we've had all 3 strategies were positive for the quarter.
Adam Spector: Yes. And I think, Jenny, in there, there's a difference between the -- what we see in alternatives versus private market alternatives because the private markets generally were a little stronger than alternatives overall as we saw some outflows in the liquid alts strategy.
Operator: And your next question comes from Ken Worthington from JPMorgan.
Kenneth Worthington: So I guess, beating the drum on expenses. So just when looking at adjusted comp for the quarter was better than guidance when accounting for the bigger-than-expected performance fees. What drove this? Was there a lower payout on performance fees this quarter? Or was the core compensation number lower than your prior guidance? And what sort of drove that?
Matt Nicholls: Yes. So obviously, you've seen the state of the current markets, Ken, resulted in just lower variable compensation, number one. So that's a combination of AUM revenue, less performance, our performance actually improved a little bit. So -- but just generally speaking, that lowered the compensation. Then we had the transaction-related fee that we mentioned on Fondul that has a higher margin associated with it. So that also helped in that regard. So that's probably lower than you would expect. So I'd say just a combination of just expense discipline around how we manage our compensation going in because remember, this is our year-end. So we've made final adjustments based on where the current market is and expect the next quarter to be.
Kenneth Worthington: Okay, fair enough. I'm going to take a flyer in Precidian. Your ETF business is doing well. You have additional fund launches. We're seeing more active ETFs industry-wide. Can you talk about Precidian, to what extent is active ETF proliferation utilizing the Precidian structure?
Jennifer Johnson: Look, I think the market has kind of spoken on this topic which is they want transparent active ETFs. And so that's been our area of focus. And so we haven't really pursued anything there and I don't think there's a lot of growth there.
Operator: Your next question comes from Patrick Davitt from Autonomous Research.
Patrick Davitt: Just one, I've been asked. One quick follow-up on Putnam. Could you give us an update on, obviously, we can see the mutual funds but could you give us an update on how the flows have tracked in the September quarter versus the last quarter and maybe last year in this quarter.
Matt Nicholls: Yes. Patrick, I don't mean to be difficult in any way but obviously, we don't own Putnam today. So we're not -- we can't really report their flows to you. I would just say though, their AUM is roughly where we announced the transaction. So I think when we announced the transaction, we were around $136 billion. And during that period of time, their performance has remained very strong. And you know what's happened with the market between now and between then which was late May and now, the market went up for a month or so or a couple of months, then it came down quite hard. And they're roughly where they are and the flow expectations we had from them was to be, based on their strong performance, to be in the flattish area, let's say and I'd say that the results are in line with what we expected. Sorry, I can't give more specificity around it but yes.
Patrick Davitt: And one quick follow-up. I know it's early days but could you frame the opportunity with the Venerable partnership you just announced. Any kind of details you can give around the pool of AUM you'll be open to the time line for transitioning that AAM to the Venerable branded funds, et cetera?
Adam Spector: Yes. I think we're not going to give, again, sorry to not give too much detail on that but it's a multi-stage project with them, where we're going to be managing assets that we take on over a period of quarters. There's something that we've announced that came out quite recently and I think it's indicative of the way that we are able to work with insurance companies in general, to build things where they are able to more actively and efficiently hedge what's in their portfolio. So it was a customized solution that we built with them. And it's the type of approach we're talking to some other insurance companies about right now.
Operator: And your next question comes from Brian Bedell from Deutsche Bank.
Brian Bedell: Great. Just one clarification on the Putnam operating income guidance. Does that include the $25 million investment from Great-West, in that guidance? I guess, is that investment had [indiscernible].
Matt Nicholls: Brian, the answer is no. [Indiscernible] $25 billion is incremental. We guided the $25 billion in terms of fee rate in mid-teens because a large portion of that is insurance general account related from [indiscernible]. We expect that to be incremented by about 50%, [ph].
Brian Bedell: And then, I can follow-up. Can you hear me better now?
Jennifer Johnson: Yes, it may be our audio that's having an issue. Brian, did you hear the response?
Brian Bedell: No, it kind of got garbled up.
Jennifer Johnson: Matt, why don't you try again?
Matt Nicholls: Let's try again. This is better?
Brian Bedell: Much better. Yes.
Matt Nicholls: Okay. Great. So no, the guidance did not include the fees associated with the $25 billion allocation. That's largely from Great-West Life. So the fee rate is around the mid-teens, on the $25 billion, if you calculate the revenue on that. In terms of implementation time line, we expect about half of that to come in the first calendar quarter next year. Well, let's call it the first quarter after we close and then the second half to come in over a period of a year -- one year. We'll obviously keep you updated on that, Brian.
Brian Bedell: Yes, that's great. And then just the last question, just on private credit versus public credit. So you've got a ton of different solutions across your specialist managers, including alternatives. Maybe just to zero in on the wealth channel. What are your thoughts about the timing of this reallocation toward fixed income when that picks up? And then, maybe just thinking about it with your private credit offerings versus the public side, do you think one will sort of went out over the -- not went out over the other but one will be larger than the other? And is that cadence, if you have to think about it over the next 2 or 3 quarters, is that sort of an equal cadence, do you think? Or do you think there'll be much larger swing into the public fixed income funds given just your scale there?
Jennifer Johnson: I think this is -- well, first of all, we know in talking to our large distribution partners, if there's just a massive amount. One of them commented that their most profitable area right now is their, basically the money market fund because of the massive amount of money sitting in cash on the sidelines. So the wealth channel is no different than the institutional channel in that. The institutional channel is likely to move first and then the wealth channel. The challenge, I think, between traditional fixed income and private credit is that banks just aren't lending like they used to. And so you're not even generating as much of the traditional fixed income as you used to. And so in order to have the investable universe, you're going to probably see the wealth channel starting to move more into private credit anyway. But the reality is, it is illiquid. And I think this is where we are on the product development side, thinking through creative solutions where you actually have products that combine private credit and traditional fixed income. So you have a component of liquidity with the excess returns that are generated in the private markets because of their illiquidity premium. So it's just as any alternative is in the wealth channel, it's complicated because you have the suitability and the DOL rule that was asked is, it's going to mean that the bar is even higher. You can't make mistakes. But from a responsible asset manager trying to figure out how to provide these excess returns in that channel, it's an area of great focus for us. So again, the banks are going to lend the way they used to lend the capital requirements have made it tougher and tougher. You see it in the numbers. And we think that private credit is going to continue to grow.
Operator: This concludes today's Q&A session. I would now like to turn the call back over to Jenny Johnson, Franklin's President and CEO, for final comments.
Jennifer Johnson: Well, I just want to thank everybody for participating in today's call. And once again, we'd like to thank our employees for their hard work and dedication. It's also -- I'd also like to add that we look forward to welcoming the impressive team at Putnam to Franklin Templeton when the transaction closes. And we look forward to speaking with you all again next quarter. Thank you.
Operator: Thank you. This concludes today's conference call. You may now disconnect.